Operator: Hello, and welcome to the SilverBow Resources Third Quarter 2021 Earnings Conference Call. All lines have been placed on muted to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the call over to Mr. Jeff Magids. Please go ahead, sir.
Jeff Magids: Thank you, Lisa, and good morning, everyone. Thank you very much for joining us for our third quarter 2021 conference call. With me on the call today are Sean Woolverton, our CEO; Steve Adam, our COO; and Chris Abundis, our CFO. Yesterday afternoon, we posted a new corporate presentation to our website, and we'll occasionally refer to it during this call. We encourage listeners to download the latest materials. Please note that we may make references to certain non-GAAP financial measures, which are reconciled to the closest GAAP measure in the earnings press release. Our discussion today may include forward-looking statements which are subject to risks and uncertainties, many of which are beyond our control. These risks and uncertainties are described more fully in our documents on file with the SEC, which are also available on our website. With that, I will turn the call over to Sean.
Sean Woolverton: Thank you, Jeff, and thank you, everyone, for joining our call this morning. I am extremely proud of SilverBow's third quarter results and the progress we have made toward our key objectives, which we show on Slide 6 of our presentation. During the quarter, we focused on maximizing our full year free cash flow, adding high-return inventory in both the Eagle Ford and Austin Chalk and executing on accretive M&A. Since the beginning of August, we have announced three acquisitions, which are accretive across key financial metrics and further our strategic objectives. Our first objective is to grow production and EBITDA while living within cash flow. Third quarter oil production increased nearly 50% sequentially as we wrapped up the remainder of our midyear liquids development. For the full year, we increased our production guidance by 4% at the midpoint, and we now expect 16% growth year-over-year. Inclusive of acquisitions, our exit rate production in December should increase roughly 45% year-over-year. We also increased our free cash flow guidance for the third time this year, and now expect free cash flow in the range of $80 million to $90 million, a 70% increase at the midpoint from our prior range. Our updated guidance implies a reinvestment rate of 60% and a free cash flow yield greater than 20%. Our second objective is focused on expanding our inventory through Austin Chalk delineation and accretive acquisitions. Our recent acquisitions add five to six years of rig life and drilling inventory spanning both the Eagle Ford and Austin Chalk. In regards to our organic development, we brought our second Webb County Austin Chalk well online during the third quarter. As Steve will detail further, the second well has produced over 12 MMcf per day on average through the first 60 days and is performing similar to the first well. In addition, we recently brought online our third Austin Chalk well in Webb County, and we like what we are seeing from the early results. Year-to-date, we have added over 50 Austin Chalk drilling locations in Webb County through M&A and our successful appraisal and development program. Our third objective is to drive peer-leading capital efficiency and cost structure. We have continued to reduce our D&C cost per lateral foot this year, which are 14% lower in 2021 compared to 2020. In the third quarter, our efficiency gains equated to roughly $9 million of savings on our completion costs. Furthermore, we lowered our full year G&A guidance and do not expect a material change to G&A even as we integrate the recent acquisitions. Our lean cost structure allows us to generate attractive full-cycle returns. And SilverBow is at the high end of our peers on free cash flow yield, which we highlight on Slide 27 of our presentation. Last but not least, we seek to delever our balance sheet through debt reduction and accretive transactions. Year-over-year, we reduced our total debt by $55 million and have paid down $92 million of total debt since the end of the first quarter of 2020. At quarter end, our leverage ratio was 1.7x, down from 2.5x at year-end 2020. We anticipate our leverage to further decrease to 1.25x by year-end. We also expect to significantly increase our liquidity as we generate free cash flow and complete our semiannual borrowing base redetermination in the coming weeks. We plan to resume drilling at La Mesa in December. And as we look into next year, our latest expectation is to run at a 1-rig pace throughout 2022 compared to an approximately 3/4 rig run rate this year. This will drive double-digit annual production growth, inclusive of full year contributions from recent acquisitions. At the same time, we expect to reinvest approximately 75% of our free cash flow as warranted by our return thresholds. Reinvesting at the right time and the right wells provides for increased EBITDA, sustained free cash flow and lower leverage as we look to 2022 and beyond. Our recently acquired properties and the associated Eagle Ford and Austin Chalk locations only add to that equation. With that, I will turn the call over to Steve to provide an operational update. Steve, please go ahead.
Steve Adam: Thank you, Sean. In the third quarter, we drilled six net wells and completed 11 net wells. Our completion activity was focused on the remainder of our midyear liquids development program, the majority of which was in our La Salle condensate area. We also delivered these completed wells $9 million below planned AFE cost as we reduce our cycle times and further optimize well designs. In our La Salle condensate area, we are seeing strong well performance from our recent development program. We brought online a two-well pad with a 30-day rate of 2,500 BOE per day and a 72% liquids cut. We also brought online a four-well pad with a 30-day rate of 4,200 BOE per day and a 78% liquids cut. In our McMullen oil asset, we brought a single well online in the NBR area. This confirmation well is currently outperforming expectations and provides additional inventory of high-return oil locations. As Sean mentioned, the Austin Chalk has been a key area of focus for SilverBow this year. In February, we brought online our first Austin Chalk well in Webb County. To date, this well has cumulatively produced 2.7 Bcf or about 11 MMcf per day on average over the first 250 days. In August, we brought online our second Webb County Chalk well, which has produced over 12 MMcf per day to the first 60 days or more than 0.6 Bcf cumulatively. In addition to our successful Austin Chalk program that has added 50 drilling locations, we have added significant inventory through our recent acquisitions. As shown on Slide 8 of our presentation, we outlined our high-return inventory that exists across our asset base. On the operational efficiency front, our team continued to reduce cycle times during the quarter as our drilling times averaged approximately seven days per well in the third quarter compared to nine days in 2020. As shown on Slides 21 and 22 of our presentation, we drilled 10% more feet per day compared to 2020. On the completion side, we completed 3% more stages per day and reduced completion cost per well by 17%. Taken together, we reduced our total D&C cost per lateral foot by 14% compared to 2020. On our last call in August, we announced and closed an acquisition of incremental working interest in adjacent acreage at our La Mesa position in Webb County. Later in the month, we announced a second acquisition of 40,000 net acres in the Eagle Ford, which bolstered our AWP and Southern Eagle Ford positions. This also expanded our footprint north into the oil window of Atascosa County and to the Northeast in and Lavaca Counties. In October, we announced a third acquisition of 17,000 net acres in the oil window of La Salle, McMullen, DeWitt and Lavaca Counties. Altogether, these 3 acquisitions bring an additional 5,500 BOE per day of production, 85 net producing wells and over 200 future drilling locations in the Eagle Ford and Austin Chalk formations. Second acquisition closed on October 1, and we expect the third acquisition to close later this year. Our team is currently in the process of integrating these assets into SilverBow's larger operating structure. And we expect to realize cost synergies across these assets as a result of greater size and scale. Our third quarter production averaged 212 MMcfe per day, near the high end of guidance. As a result of the well performance in our La Salle condensate area, third quarter oil production increased nearly 50% sequentially. SilverBow will also continued its streak of 0 reportable incidents, and as mentioned before, a cultural point of pride amongst our organization. It has been over 1,200 days since our last lost time accident and over 800 days since our last recordable incident. For the fourth quarter, we are guiding to a production range of 240 to 250 MMcfe per day, with natural gas representing 75% at the midpoint. For full year 2021, we are increasing our production guidance to a range of 210 to 215 MMcfe per day. Our guidance includes the impact from the 2 acquisitions which have closed. We expect to deliver 16% production growth year-over-year. As it pertains to service and supply costs, we are currently experiencing various pockets of inflation for select markets on both the capital and operating sides of the business. Much of the inflationary impact is around price increases for tubular goods, trucking, pressure pumping, proppant, production chemicals and labor. To date, we have been able to commercially offset these cost pressures through improved efficiencies and other optimizations. However, we are planning for a net increase of 7% to 10% in capital costs and 3% to 5% in operating costs as we look forward towards year-end and 2022. Maintaining a low cost structure has been key to SilverBow's success. And we expect to continue this competitive cost structure for the foreseeable future as we work with our vendors and critical contractors. Capital expenditures for the third quarter totaled $51 million on an accrual basis. Our full year CapEx guidance is unchanged at $115 million to $130 million. However, given the cost savings identified in the third quarter and a favorable returns environment, we have completed 4 Rio Bravo wells, which are now online. These wells were originally planned to be completed in early 2022. Additionally, we plan to resume drilling at our La Mesa asset in December. With the majority of our full year CapEx being incurred through the third quarter, the fourth quarter is expected to generate substantial free cash flow. While we are in the process of finalizing our drilling schedule and capital budget for next year, our balanced portfolio will allow us to remain flexible and adaptable to market conditions. As always, we continue to operate with a strict returns-driven mindset in regards to any future development. With that, I will turn it over to Chris.
Chris Abundis: Thanks, Steve, and good morning, everyone. In my comments this morning, I will highlight our third quarter financial results as well as our price realizations, hedging program, operating costs and capital structure. For the third quarter, revenue was $99 million, excluding derivatives, with natural gas representing 77% of production and 63% of oil and gas sales. For the quarter, our realized oil price was 97% of NYMEX WTI, our realized gas price was 103% of NYMEX Henry Hub and our realized NGL price was 44% of NYMEX WTI. Notably, our realized gas price was $0.13 per Mcf, higher than the benchmark Henry Hub prices, highlighting the attractiveness of operating in the Gulf Coast markets. Our realized hedging loss on contracts for the quarter was approximately $19 million. Based on the midpoint of our guidance and our hedge book as of October 29, our total estimated production is 64% hedged for the remainder of 2021. The company has 66% of natural gas production hedged, 73% of oil hedged and 44% of NGLs hedge. For 2022, SilverBow has 113 MMcf per day of natural gas production hedged and approximately 3,000 barrels per day of oil hedged. The hedge amounts are inclusive of both swaps and collars. A detailed summary of our derivative contracts is contained in our presentation and Form 10-Q filing for the third quarter of 2021, which we expect to file later today. Risk management is a key aspect of our business. And we are proactive in adding oil and gas bases and calendar month average roll swaps to further supplement our hedging strategy. As shown on Slide 26 of our corporate presentation, we have historically realized prices close to NYMEX benchmarks. Turning to cost. Lease operating expenses were $0.38 per Mcfe. Transportation and processing costs were $0.30 per Mcfe. Production taxes were 5% of oil and gas sales. Adding our LOE, T&P and production taxes together, total production expenses were $0.93 per Mcfe, continuing our trend of total production expenses of less than $1 per Mcfe. Cash G&A costs for the quarter were $4 million, a 15% decrease year-over-year. For the full year, we lowered our cash G&A guidance to below $6 million and do not anticipate a meaningful increase to G&A related to our recent acquisitions. We consider our lean cost structure to be a competitive advantage, allowing SilverBow to sustain profitability during periods of volatile commodity prices. Adjusted EBITDA for the quarter was $58 million, exclusive of amortized derivative contract gains and pro forma contributions from closed acquisitions. As reconciled in our earnings materials, we generated a slight deficit in cash flow during the quarter. This was a timing effect as a large portion of our full year D&C spend occurred in the third quarter. As Steve noted, we identified a significant amount of savings on our D&C spending, which helped to offset some of the timing impact to cash flows. For the full year, we have increased our cash flow guidance from a midpoint of $50 million to a midpoint of $85 million, a 70% increase. Turning to our balance sheet. We reduced our total debt by $55 million year-over-year and held our debt flat quarter-over-quarter. Strong cash flows and proceeds from our ATM program allowed us to hold our net debt flat in the quarter, which had a $13 million cash outlay for acquisition payments and $51 million for CapEx. The $51 million represents 40% of our full year CapEx budget. In regards to our ATM program, during the quarter, we issued roughly 700,000 shares and raised approximately $13 million in net proceeds. As I mentioned, this raise offset the cash payment for one of our recent acquisitions. As of September 30, we had $198 million outstanding under our credit facility, approximately $1 million of cash on hand and $103 million of liquidity. The company is currently undergoing its semiannual borrowing base redetermination and anticipates a sizable increase in availability under its revolving credit line. I would like to thank our bank syndicate for their continued support and look forward to constructively working with them as we further our Eagle Ford and Austin Chalk consolidation efforts. In conjunction with the unwinding of oil derivative contracts related to production periods in 2020 and 2021, SilverBow was able to amortize $38 million it received in March of 2020 as add-back gains in discrete amounts extending from April 2020 through December 2021. The amortized hedge gains factor into SilverBow's adjusted EBITDA calculation for covenant purposes over the same time period, and therefore, is important for our investors and research analysts to understand when tracking our leverage ratio. Additionally, SilverBow includes pro forma contributions from acquired assets and adjusted EBITDA for purposes of calculating its leverage ratio. For the third quarter of 2021, the add-backs totaled approximately $5 million. On a last 12-month basis, the add-back totaled $27 million, bringing our LTM adjusted EBITDA for covenant purposes to $229 million and our quarter end leverage ratio to 1.73x. At the end of the third quarter, we were in full compliance with our financial covenants and had sufficient headroom. And with that, I will turn it over to Sean to wrap up our prepared remarks.
Sean Woolverton: Thanks, Chris. To summarize, SilverBow is positioned to grow EBITDA and expand inventory, while generating substantial free cash flow and delevering the balance sheet. The recent strength in commodity prices broadens the optionality of our high-return inventory, as evidenced by the real-time optimizations we make to our development program. Year-to-date, SilverBow has been one of the best-performing oil and gas stocks across all market caps, both large and small. We continue to deliver on accretive and organic growth while remaining opportunistic in the market. Our winning strategy is built on solid execution, efficient operations, financial resilience and a low-cost structure. We see additional tailwinds to our outlook given the favorable price environment, continuing strengthening of our balance sheet, and ongoing Eagle Ford expansion and Austin Chalk delineation. It is an exciting time to be at SilverBow. What sets us apart from others is our quality assets, exceptional track record and strong capital structure, as it stands today, we have all three in place, and a culture designed to harness the full potential of our greatest asset, our people. We look forward to providing further updates on our next call. And with that, I will turn the call back to the operator for questions.
Operator: [Operator Instructions] Your first question comes from the line of Neal Dingmann with Truist Securities.
Neal Dingmann: Sean, nice job so far. Obviously, your data M&A has been quite good. My question is, just wondered out there, what is it that the M&A market, given the run-up we've seen in prices, doesn't look as robust out there? And if so, is your preference these days look more towards the oil or the gas side?
Sean Woolverton: Neal, yes, we continue to see a number of assets in market in the Eagle Ford across both the gas and oil windows. We're open to expanding our position on both commodities as we look to further balance our inventory position going forward. Your comment of run-up in prices, obviously, since expectations higher from the seller side. But we're going to continue to be very pragmatic and thoughtful on any transactions we do and target transactions that grow our inventory while at the same time keeps our leverage at – where we're currently at or accretive to our current position. So very happy with the deals we've done. We've done them from an accretive valuation standpoint, and look forward to trying to get additional transactions done here as we move into 2022.
Neal Dingmann: No. Good. That’s helpful so far. And then I just wondered, obviously, a nice upside on the Austin stock. Just wondering thoughts on – have any thoughts changed on the, let's say, even the plans? I know you don't have the 2022 budgets out yet or a guide, but just thoughts now on that play out for this if you had.
Sean Woolverton: Yes, yes. Definitely Austin Chalk, the first two wells where we have at least 60 days of data on both look very attractive and rank very high in our inventory in terms of returns. We did just recently bring on a third well. That well has been on just a couple of weeks, but is tracking similar to the first two wells performance. So as we think about next year, we – our current plan is to continue expanding our Austin Chalk drilling and start to look at probably some spacing tests as we get into 2022 as well. So very excited about the opportunity set there. And we continue to look for additional acquisition opportunities in the Western Austin Chalk trend as well as grassroot leasing opportunities.
Neal Dingmann: Pretty good, thanks.
Sean Woolverton: Appreciate the questions.
Operator: Your next question comes from the line of Charles Meade with Johnson Rice.
Michael Furrow: This is Michael Furrow filling in for Charles. Just kind of hit on it already a little bit, but just kind of going back to the A&D market. You have announced three deals since August. You had an over five years of inventory in a pretty short period. So obviously, that market is looking pretty opportunistic right now. How should we expect the current pace that you guys are making? Deals have to change, if at all? And could you give us some more insight on some potential deals that you might be currently looking at now?
Sean Woolverton: Yes. No. Great question. We've been very active in the A&D market in the basin for a number of years. Through that activity, we've built relationships with a number of sellers, right? And so many of these transactions that we've done just didn't occur overnight, but it took time to build relationships with, especially with the seller's desire to take SilverBow's stock. I think it shows a reflection of the upside that sellers have seen in our stock as well as comfort in the way we manage properties. So I would tell you that there's additional relationships that we've built, and we continue to have open discussions with a number of folks. In terms of telegraphing additional deals, probably can't do that, but we look forward to getting some more transactions across the line as we move forward.
Michael Furrow: Great. That's good news to hear. Sort of a kind of unrelated follow-up regarding the full rig you plan on running. What sort of operational efficiencies or details? Can you kind of to us how it works? To us on the sell side, that might not be as obvious for us as it is for you all.
Sean Woolverton: Yes. Why don't I let Steve answer that question.
Steve Adam: Yes. Thank you, Michael. Up to date, we have not had a full rig line schedule. We've had an inconsistent rig line schedule here of late. So with a full rig line schedule beginning here in the middle of December, going forward through 2022 and likely into 2023, it's going to do a couple of things for us. One, we're going to get that, not only well-to-well, but that pad-to-pad efficiency. We've had a lot of well-to-well efficiency so far. But now we're going to get pad-to-pad efficiency. And then as we design and work through our drill schedule for the year, we're optimizing our rig moves around that. So that's on the rig side. And then furthermore, as I mentioned in comments there, where we're seeing some of the greater costs, at least on the drilling side, in casing and oil country tubular goods, this allows us to plan out further and to get some scale along with that pricing as well as some of the optimizations that go with not only procuring that pipe logistically and getting it sourced at the rig level, trucking aside. So there are some opportunities there. Then the other thing about it on the drilling side that gives us opportunity is, as we go from area to area, we cover the basin from north to south on the West side. And now as we go more towards the east, in all of those different bands, we have different opportunities with respect to the muds we use as well as the motor assemblies, bottom hole assemblies and other tools that we use. And this will allow us now to kind of go with focused areas on each one of those, whereas before we've kind of maybe had to go back and forth to different areas a little prematurely because of the drill schedule. So those are some of the real clear operational efficiency that we see. And then, of course, we're always looking at our unit costs, not to mention those process costs. On the completion side, it will take us even further because we'll be able to pretty much lock in with one consistent trailing frac spread. And as many people have commented, and as you know, that consistent frac spread has a lot of inherent efficiencies to it rather than picking up one versus another or even a different company. So we'll be able to maintain that trailing frac spread with a high degree of personnel efficiencies, process knowledge, as well as the way in which we do things from both a downhole perspective as well as the surface logistical support. So we're looking for either more efficiencies on the completion side versus that of on the drilling side and again, trucking aside.
Michael Furrow: Thank you, that’s a very good color. I appreciate you taking my questions.
Sean Woolverton: Thanks Michael.
Operator: At this time, there are no further questions. I would like to turn the call back to Sean Woolverton, CEO, for closing remarks.
Sean Woolverton: Well, I want to again thank everyone for their interest in SilverBow and their attendance of our call this morning. We look forward to sharing additional updates with you as we report our year-end results in March of next year. Everyone, have a nice day.
Operator: This concludes today's conference. You may now disconnect.